Operator: Good day, and welcome to AstroNova's Quarter 1 Fiscal Year 2018 Earnings Conference Call. Today's conference is being recorded. 
 And at this time, I'd like to turn the call over to David Calusdian. Please go ahead, sir. 
David Calusdian: Thank you. Good morning, everyone, and thank you for joining us. Hosting this morning's call is Greg Woods, AstroNova President and CEO; and John Jordan, Vice President and CFO. Greg will begin the call by reviewing the company's operating highlights and business outlook. John will take you through the financials. Greg will make some concluding comments, and then management will be happy to take your questions. 
 By now, you should have received a copy of the earnings release that was issued earlier today. If you do not have a copy, please go to the Investors section of the AstroNova website, www.astronovainc.com. 
 Please note that statements made during today's call that are not statements of historical facts are considered forward-looking statements within the meaning of the Securities and Exchange Act of 1934. These forward-looking statements are based on a number of assumptions that could involve risks and uncertainties. Accordingly, actual results could differ materially. Such forward-looking statements speak only as of the date made, except as required by law. The company undertakes no obligation to update these forward-looking statements. For further information regarding the forward-looking statements and the factors that may cause differences, please see the Risk Factors in the AstroNova annual report on Form 10-K and other filings the company makes with the Securities and Exchange Commission. 
 Now I'll hand the call over to Greg Woods. 
Gregory Woods: Thank you, David. Good morning, everyone. Let me start with a high-level perspective on some of the key takeaways this past quarter and update you on the integration of TrojanLabel, which complements and strengthens our Product Identification segment. To begin with, we're making excellent progress on the integration. In the 14 weeks since acquiring TrojanLabel, we have completed key IT and financial reporting conversions, held sales training meetings for our sales teams around the globe and conducted Kaizen events at TrojanLabel's manufacturing facility. 
 The purpose behind these events was to train and align the TrojanLabel team with the AstroNova Operating System, which is our bedrock for improving efficiency, reducing waste and strengthening processes across the organization. Ensuring that people, processes and technology are in sync enables TrojanLabel to keep pace with the expanded manufacturing volumes we anticipate as we move forward. 
 In addition to completing the financial reporting and IT integrations, we've aligned the company's product roadmaps, integrated the engineering documentation and made good headway on the sales channel integration. AstroNova is a lean and efficient organization, so it should not be surprising that the integration process has taken a fair amount of our time, attention and focus. Whereas our Miltope and RITEC deals were product line acquisitions, in TrojanLabel, we have acquired an entire organization, one base outside of the U.S. 
 Our goal is to finish all of the heavy lifting associated with the integration by the end of this quarter. And I believe we're well on our way towards achieving that objective. 
 From a customer-facing perspective, last week, we showcased the QuickLabel and TrojanLabel product lines side-by-side at the interpack 2017 trade fair in Germany. And our new addition garnered significant customer interest. For those of you who may not be familiar with TrojanLabel, it fits perfectly within our Product Identification segment. The Trojan 2 is a sophisticated mini digital label press that expands our addressable market in that category, while the Trojan 3 had the game-changing overprinting system for the packaging and converting industry. To learn more about these new products, please visit our website for videos and detailed product information at astronovainc.com.
 Complementing those platforms, TrojanLabel also has several exciting new products in its pipeline. So stay tuned. 
 Another highlight for us at interpack was the launch of the QL-240, the newest entry in the QuickLabel family of digital high-resolution tabletop color label printers. For brand owners, print shops or manufacturers, who want to move their label printing requirements in-house, the QL-240 is a terrific alternative to expensive preprinted thermal transfer labels. We're excited about the addition of the QL-240 to our QuickLabel lineup, and so are many of the visitors at this year's interpack, where we received a record number of leads.
 On our year-end call, one of the fiscal 2018s we discussed was our plan to make substantial investments in sales, marketing, engineering and technical support to rapidly expand our addressable market and accelerate profitable growth. Towards that end, we recently welcomed Brian Connolly as TrojanLabel's Vice President of Sales & Marketing for the Americas. Brian brings 30 years of direct industry experience to this new position. For the past 2 years, he served as Vice President of Sales & Marketing at Colordyne. Before that, he served in senior sales, marketing and business development roles with Milwaukee-based Brady Corporation, as General Manager of the North American division of barcode software publisher, Teklynx International, and is Managing Director of Brady Medical Converting. 
 Turning to our Test & Measurement segment. We recently announced 2 international flight deck printer contracts. In April, we announced that a leading Nordic air carrier had selected the new narrow-format ToughWriter 640 flight deck printer for its Boeing 737 MAX aircraft. This is the first airline to use a 640 in the 737 MAX. You'll recall that earlier this year, Boeing included the 640 in its 737 next-gen and 737 MAX catalog. So we are pleased to see the start of tangible benefits from that listing. 
 And just yesterday, we announced that we were selected by China Electronics Technology Aviation Co. (sic) [ China Electronics Technology Avionics Co. ] to provide the ToughWriter 5 flight deck printer for the new COMAC C919 aircraft, which is manufactured by the Commercial Aircraft Corporation of China. What's important about this alliance is that the C919, which this month completed its successful maiden flight, is the largest commercial airliner ever designed and built in China. 
 In a report issued last fall, the International Air Transport Association estimated that by 2024, China would displace the U.S. as the world's largest aviation market. We are honored to partner with CETCA and COMAC and see this agreement as an important catalyst in our strategy to further expand our aerospace business in China and other markets around the world. 
 Staying with our T&M segment for a moment. We recently strengthened our team there as well with the addition of Bryan Nadeau as General Manager of Test & Measurement products. Bryan brings 23 years of experience in areas of sales management, manufacturing, engineering and quality, including deep expertise in test, measurement and automation. Brian joins us from National Instruments, where he spent more than 10 years in senior sales and account management roles. 
 I'd also like to update you on our latest initiative to provide our customers with greater hands-on access to our rapidly expanding product offerings. We started earlier this year to open a series of AstroNova innovation technology centers, ITCs, around the globe. These ITCs are staffed with sales and technical support personnel and showcase the full range of AstroNova products. The ITCs provide an ideal environment to demonstrate both standard and custom features of our products to our customers. The first 2 ITCs are already up and running, one in the U.S. and one in Europe, with several additional centers planned to roll out throughout the year. 
 Before turning it over to John, let me also mention our recent repurchase of 826,305 shares of common stock from the Albert W. Ondis Trust. This transaction, which we completed with cash on hand, underscores our commitment to adding shareholder value and our confidence in the future and our ability to continue generating strong operating cash flow. We appreciate the many positive comments we have received from investors about this repurchase. 
 Now let me turn the call over to John for the financial review. 
John Jordan: Thank you, Greg. Good morning, everyone. Revenue in the first quarter increased $348,000 to $24.5 million. Domestic revenue of $15.7 million was down about $1 million from the prior year's first quarter. Revenue from international sales increased 19%, with higher sales in most international markets. Fluctuations in foreign exchange tempered revenue by approximately $314,000. Revenue in the Product Identification segment was $18.6 million in the quarter, 12.3% higher than the first quarter of fiscal 2017, reflecting the contribution of TrojanLabel as well as the continuation of the strong demand for printer supplies. Revenue for the Test & Measurement segment was $5.8 million, below the prior year by 23%, traceable to a transition to our next-generation data acquisition products and the timing of aerospace order releases. 
 By product category, printer supplies posted another solid quarter and increased 11% to $14.8 million, 61% of total revenues. Hardware revenue of $7.3 million was 16.5% lower than last year's first quarter, largely related to order timing, as we ramp up the new products in both Product Identification and Test & Measurement. Revenue from service, parts and repairs was $2.3 million in the quarter, up 16% over the prior year's first quarter. 
 Gross margin in the quarter was 38%, 1.3 percentage points less than the prior year quarter. Gross profit was $9.3 million, off about $167,000 from the prior year quarter. The delta was primarily a function of product mix. Operating expenses of $8.6 million in the first quarter were approximately $674,000 or 7% higher than prior year's first quarter due to the addition of the TrojanLabel workforce. Operating expenses as a percentage of revenue increased to 35.2% in the first quarter of fiscal 2018 from 32.9% in the same period a year earlier. 
 Operating income of $707,000 in the quarter was less than the $1.5 million reported a year earlier, primarily due to the additional TrojanLabel operating expenses, integration costs and ongoing investments to grow the business. The Product Identification segment generated $2.5 million in segment operating income with a margin of 13.4%, and Test & Measurement reported operating income of approximately $71,000, a 1% operating margin. 
 The income tax provision in the quarter was approximately $147,000 for an effective tax rate of 22.3% compared with a tax provision of $476,000 or 31.8% in the prior year's first quarter. First quarter 2018 net income was $512,000 or $0.07 per diluted share compared with $1 million or $0.14 per diluted share in the first quarter of fiscal 2017. Cash and marketable securities were $23.8 million at April 29, 2017 compared with $24.8 million at year-end 2017. 
 Accounts receivable at the end of the first quarter were $16.1 million, representing 53 days sales outstanding, compared with 49 days at the end of the fiscal year, entirely attributable to the addition of TrojanLabel. Inventory at the end of the first quarter was $20.3 million, representing 121 days of inventory on hand compared to inventory at the end of fiscal 2017 of $19.5 million, 114 days on hand. Similarly, the higher inventory level was driven by the addition of TrojanLabel. 
 Capital expenditures for the first quarter were $271,000, primarily related to improvements to physical plant and IT system and software updates. The first quarter dividend of $0.07 per share returned $524,000 to shareholders. We had 335 team members at the end of the first quarter. That's up from 312 at year-end 2017. Our revenue per employee increased to $307,000 compared to $294,000 for the same period last year. 
 Bookings received in the first quarter were $25.8 million, 4.1% more than the prior year's first quarter. Backlog at $18.2 million was $600,000 higher than at the end of Q4 fiscal 2017, primarily attributable to the strength of orders in the Product Identification segment. For the 3 months ended April 29, 2017, operating cash flow was a use of $800,000 compared with $2.9 million in net cash from operating activities for the comparable period of 2017. 
 Before I return the call over to Greg, let me remind you that on Thursday, Greg and I will be in Boston to present at the East Coast IDEAS Investor Conference. On June 15, we will be in New York to present at the Marcum MicroCap Conference. If you're planning to attend either of these events and would like to arrange a one-on-one meeting, please contact our Investor Relations group at (617) 542-5300 or e-mail ALOT@investorrelations.com. 
 Now I'll turn the call back over to Greg for closing comments. 
Gregory Woods: Thank you, John. We expect fiscal 2018 to be strong for AstroNova as we continue to focus on building out our management team, expanding our addressable markets and driving profitable growth. We believe we are well positioned to achieve our long-term financial and operating objectives. 
 With that, John and I will be happy to take your questions. Operator? 
Operator: [Operator Instructions] Okay. And we'll take our first question. 
Thomas Spiro: Tom Spiro, Spiro Capital. A couple of questions. First, Greg, could you update us on the progress of the QL-800? It seemed to get off to a great start last quarter. How's it faring now? 
Gregory Woods: Well, it's being well received by our customers, Tom. So it's -- like I mentioned, I had a little blurb in there, where I talked about the interpack 2017. I was actually out there in Düsseldorf and a very strong interest from the product. As a matter fact, the guys in Europe have -- they're really actually ahead of their sales plan now in the QL-800. But it fits in really nicely because it gives us that wide-format, very high-quality print with very good value proposition on the price of the product. 
Thomas Spiro: Do the bookings and backlog numbers that we reported at the end of this quarter include the TrojanLabel bookings and backlog? 
Gregory Woods: They do, yes. 
Thomas Spiro: They do? So if I just look at that, back a little bit out of those numbers for TrojanLabel, it would appear that our bookings and backlog, ex TrojanLabel, were something on the order of flattish, perhaps even down a little, but call it flattish versus last year, ex TrojanLabel. Is that -- am I missing something? 
Gregory Woods: Yes, it's kind of in that range. And as we mentioned, you could see in the numbers there. So we're looking at the biggest impact in that was in the Test & Measurement segment, where we had, again, as we've talked about in the past, it tends to be lumpy in terms of aviation releases. So that was the biggest contributor to that. 
Thomas Spiro: The bookings in QL-800 remaining strong? 
Gregory Woods: Yes. The 800 is looking very good. It should be -- it's a higher price point than our Kiaro!. So I was going to say it might be up there in that same league, though, in terms of units by the end of the year. 
Thomas Spiro: I see. Wow. Well, that's great. That's great. I didn't catch your estimates or projections for the year's revenues and earnings you typically do at the end of Q1. Are you planning to do that or no? 
Gregory Woods: We're going to do that at Q2 this year, mainly having to do with a number of things we have going on right now with the integration. But we're going to do that in Q2. So stay tuned for that, and we'll give you an update in Q2. 
Operator: [Operator Instructions] And we'll go once again to Tom Spiro with Spiro Capital. 
Thomas Spiro: Wow. I guess, it's just me, guys. I wonder if you could give us an update on the progress of the new data acquisition product. It's been several quarters now since they were introduced. How are they faring? 
Gregory Woods: Yes. We're doing well with the deck, the standard DDX100, because the DDX100 is the newer product with the display screen on it. And we've got -- I don't want to steal their thunder, but the guys have a new addition to that product line they're bringing out at the end of May in Germany again at a test and sensor show. So a little bit more that, but it's part of the whole theme of that Daxus product line, is that it's a common platform, but multiple iterations and specific products designed to attack certain niches in the marketplace. So we'll have that. That's actually out ahead of time. We're hoping that that's done by the end of summer. And we'll actually, as I said, display that at the end of May. 
Thomas Spiro: That's helpful, Greg. And then just lastly, on the Trojan acquisition. It sound -- Trojan 2 and Trojan 3 sound like the most exciting product at the moment, but which of those 2 do you think has the greater potential? 
Gregory Woods: It's hard for me to quantify between the 2 of them. They're kind of in unique markets, right? So the Trojan 2 is a higher-volume mini press targeted at the label converters commercial printers. A little more traditional, but it fills a gap in that its price point is far below the competition. The Trojan 3 is really a disruptive technology, quite frankly, and we're finding uses for that almost on a daily basis. I mean, one I'll just give you as a reference point is we have some wine manufacturers actually in a couple of different locations now. We can actually print right on the wine boxes on wood directly without any special treatment of the wood prior to the printing. And if you go to the website, you can see pizza boxes, mailing products, envelopes. There's a wide variety of things that people are finding to do with this product. So we could be surprised that, that could jump way ahead, but it's early days and that one still only came out at the fall of last year. But it's pretty exciting to see what people are able to do with it, things that we didn't even think of. 
Thomas Spiro: Are they both now available in the United States, Trojan 2 and Trojan 3? 
Gregory Woods: Oh, yes. They're available around the world, actually. 
Thomas Spiro: Well, that's great. And lastly, you mentioned the new innovation technology centers. I didn't really appreciate why you're doing that, what the idea is. Could you just give us a little more color, please? 
Gregory Woods: Sure. So if you haven't seen the Trojan 2, of course, it's a pretty good-size product. And not something you can put in the back of a car and drive it to the customer. So that -- we have been toying around with the idea for a while. And that kind of cinched it for us to say, "Look, let's prepare technology centers that have the full range of product." A lot of times people come to see one product, and they leave. And they go home, and they're happy to buy their product. And then they come back to us a few months later  to say, I never knew you had such and such. So now, we have all the products in one location. So we can actually do a compare and contrast. We can show different applications. And as I mentioned, these are, you know, not huge facilities. They're typically 1,000 to a few thousand square feet. But they're in high-traffic locations, usually near airports. So customers can fly in or drive in, see the product, have it be professionally demonstrated, running -- for example, the printer industry label printing, they can actually print their products. So on site, try different materials, make the buying decision right there. We can also provide technical support and some customizations. And more and more of our products are -- have software features that allow customization circle to do that on site with the customers. 
Thomas Spiro: That sounds great. One other, again, on TrojanLabel. John, what were the acquisition expenses that ran through the income statement this quarter? 
John Jordan: They were quite a bit less than $100,000, Tom. 
Thomas Spiro: I see. Ex of that, was TrojanLabel a profitable additive to the -- in the quarter? 
John Jordan: Before amortization expense, it was pretty close. It was just about breakeven. 
Thomas Spiro: How much is amortization expense roughly? 
John Jordan: $104,000. 
Operator: And we'll go to our next question from Scott Lewis with Lewis Capital Management. 
Scott Lewis: I just wanted to ask if the ToughWriter arrangement on the new Chinese aircraft was added exclusive for you guys? 
Gregory Woods: Yes. As we said in the press release, that's an exclusive contract. 
Operator: And we have no further questions at this time. I'd like to turn the call back to Mr. Woods for any additional or closing remarks. 
Gregory Woods: I'd just like to say thank you for joining us here this morning, and we look forward to keeping you updated on our progress. Have a good day. 
Operator: This concludes today's conference. We appreciate your participation. You may now disconnect.